Operator: Good afternoon. My name is David, and I will be your conference operator today. At this time, I would like to welcome everyone to the Olo First Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Brian Denyeau from ICR. Please go ahead.
Brian Denyeau: Thank you. Good afternoon, everyone, and welcome to Olo's first quarter 2023 earnings conference call. Joining me today are Noah Glass, Olo's Founder and CEO; and Peter Benevides, Olo's CFO. During our call today, some of our discussions and responses to your questions may contain forward-looking statements, which represent our beliefs and assumptions only as of the date such statements are made. These forward-looking statements include, but are not limited to, statements regarding our expectations of our business, our industry, including with respect to our technological advancements, future financial results, including revenue and non-GAAP operating income and other key performance metrics, total addressable market and growth opportunity, and guidance and strategy, benefits from strategic partnership, restaurant order processing trends, ability to increase usage of our platform and upsell, including with respect to our opportunity to expand and our growth in average revenue per unit, and the durability of customer adoption of multiple modules. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in our forward-looking statements, and such risks are described in our earnings press release and our risk factors included in our SEC filings, including our Quarterly Report on Form 10-Q that will be filed following this call and our other SEC filings. You should not rely on our forward-looking statements as predictions of future events. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after today. Also, during this call, we'll present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release, which we issued a short while ago. This earnings release is available on the Investor Relations page of our website and is included as an exhibit in the Form 8-K furnished to the SEC. Finally, in terms of our prepared remarks or in response to your questions, we may offer incremental metrics. Please be advised that this additional detail may be one time in nature and we may or may not provide an update in the future on these metrics. I encourage you to visit our Investor Relations website at investors.olo.com to access our earnings release, investor presentation, periodic SEC reports, a webcast replay of today's call, or to learn more about Olo. With that, let me turn the call over to Noah.
Noah Glass: Thank you, Brian. Hi everyone. Thank you for spending time with us today. In the first quarter Olo's revenue and average revenue per unit momentum continued. We generated $52.2 million in total revenue, a 22% increase year-over-year and increased ARPU to $632 up 22% year-over-year and an 11% increase sequentially. And we ended the quarter with approximately 76,000 active locations on the platform. We're proud of our results and believe the first quarter updates are indicative of the role Olo will continue to play in shaping the restaurant of the future for our customers and the strong business opportunity ahead as the industry continues to race towards 100% digital, every transaction on and off premise being a digital transaction. We're energized by our mission to be the engine of hospitality, helping our customers utilize the data harvested from digital orders to provide elevated experiences for their guests. We believe that Olo is best positioned to drive the industry's digital transformation forward through our innovation in our three product suites; Order, pay and engage. In the first quarter Olo continued to see success with both new logos and existing customers across all three product suites. In particular, we saw strong increased adoption of our pay and engage modules within our enterprise customer base and a continuation of strong multi module adoption within our emerging enterprise segment. This quarter we welcomed Shipley Do-Nuts a quick service donut shop and coffee house chain with over 300 locations. Shipley deployed our ordering dispatch rail network and Olo Pay modules. Shipley is focused on ushering in the digital era, implementing digital solutions for the first time as a brand, creating operational efficiencies and new revenue streams through direct delivery. Additionally, Noodles & Company a fast casual restaurant with over 300 locations launched Olo Pay across both their main ordering and catering digital channels. This deployment represents our largest Olo Pay customers by sales volume to-date, and the third consecutive quarter were an existing enterprise customer with over 300 locations deployed Olo Pay, further demonstrating our ability to successfully sell our pay suite to enterprise brands, an important avenue for ARPU expansion.  We saw enterprise customers adopt modules from our engaged suite this quarter. Denny's casual dining chain with over 1400 locations launched both our marketing and guest data platform solutions last quarter. Denny's deployment marks our largest engaged suite brands to-date, showing that the largest enterprise restaurant brands are recognizing the importance of using guest centric data and technology to drive growth and loyalty. We're optimistic about the momentum with the engaged suite which is still in the early innings of adoption. We continue to see strong deployments within the emerging enterprise segment. This quarter, several of our new emerging brands deployed three or more modules from the onset of their Ola relationship, all of which included pay. Flying Pie Pizzeria, a fast casual chain deployed with six of our products across the order, pay and engaged suites. We believe the trends of multi module adoption will continue within this segment, and help to further increase ARPU over time. And our strategic investments in our sales and marketing organizations to support the depth of modules and their features will only strengthen this opportunity. Before I provide my typical product updates, I want to share an exciting campaign we launched last quarter. As you may recall, I mentioned that we were holding our quarterly release event live at our beyond for customer conference. During the conference, we also debuted a video sharing our vision for the restaurant of the future and how we believe Olo is best positioned to bring it to life. In the video, we share elevated restaurant experiences we're in every guest touchpoint is enhanced by technology. We explore the limitless possibilities for data driven personalization, optimization and convenience across different service models from drive-thru to delivery, full service and beyond. Futuristic innovations depicted throughout the video, like facial recognition for stored payment methods or in-store kiosks are even closer than they seem. And while this is our future vision, so much of it is possible today through Olo. Data acquisition features like borderless on premise digital ordering applications, and our guest data platform purpose built for restaurants make possible a 360 degree view of the guest. Plus the vast number of integrations made possible by our open ecosystem of 300 plus technology and service partners allow even more innovation at speed. Our dedication to the industry we serve along with the scale of our open SaaS platform makes Ola uniquely positioned to further bring the restaurant of the future video to life. Ultimately, the restaurant of the future is expected to leverage new technologies like Artificial Intelligence and integrations that promote free flowing guest data to enhance hospitality, giving restaurants the ability to make every guest feel like a regular at enterprise scale. This is increasingly evident in our most recent product enhancements. This quarter, we shared a number of exciting feature updates. Within our ordering suite managing kitchen capacity is improving with Olo's upgraded capacity management feature which utilizes AI to optimize order throughput based on preset limits and learned prep times. This enhancement is a continuation of the capacity management capabilities we rolled out last year that utilizes integrations with a restaurants kitchen display system to capture valuable on premise information to better inform our machine learning models. A leading casual dining brand with over 200 locations relies on this capacity management functionality to act as the brains of their kitchen, successfully managing the high complexity that comes with the size of their menu and increasing digital demand. We view this announcement and capability as highly strategic, as it further cements all those mission critical status in our customers operations, which will serve as a competitive advantage moving forward. Next, we're thrilled to offer open check and pay a table functionality for Olo customers using our on-premise ordering solutions, new capabilities for our order and pay suites made possible via our Omnivore acquisition earlier last year. Open check allows guests to order at the table adding items multiple times throughout the dining experience while keeping their tab open. When guests finish their meal all items that both the guests and server added to their check will show up on the guests mobile device allowing them to make one final payment to close the check. Alternatively, for guests who still want to order with their server, pay a table functionality allows them to have control of the completion of their dining experience. They can scan a QR code and pay their convenience, then get up and go. Both of these on-premise enhancements not only help tables turn faster and allow guests to avoid common pain points like waiting for the check. They free up staff to deliver more high touch interactions and act as another guest data acquisition channel. We believe on-premise ordering represents another ARPU expansion opportunity for Olo driving higher transaction volumes on our platform. And finally, in more pain news, we announced a strategic partnership with Adyen, the global financial technology platform of choice for leading businesses to provide Olo Pay customers with a faster and easier way to consolidate digital and card present payments, apply for capital and manage cash flow. Olo Pay currently processes digital payments such as online orders, QR code orders at table and mobile wallet payments. By joining forces with Adyen Ola pay customers will be able to accept and oversee both digital and card present payments from the same Olo platform in which they manage the rest of their digital business. This streamline payments stack will increase operational efficiency for restaurant businesses by eliminating the need to switch between multiple tools for reconciliation, refunds, fraud prevention, and chargebacks. And by providing a consolidated view of financial activities, payment reporting and guest data, the restaurant of the future is increasingly attainable with a true 360 degree view of each guest no matter where they order or how they pay. We're excited to launch this functionality in beta later this year, starting with kiosk ordering channels, and expanding to all card present transactions. This represents a significant expansion of the addressable market opportunity for Olo Pay over time, representing a 6x revenue opportunity capturing non-digital transaction payment processing. It will take time to complete the product integration work and begin scaling card present transactions, so we don't expect meaningful revenue from it this fiscal year. You can see the full list of new features at olo.com/quarterlyrelease. Our commitment to enhancements like these and never settling for what's working today are being recognized in a big way. I'm humbled that Olo earned the number one most innovative company honor in the dining category on Fast Company's prestigious annual list of the world's most innovative companies for 2023. I want to thank team Olo and our customers, particularly our long standing product advisory council for their dedication to constant innovation, bringing meaningful change to our customers and the industry as a whole. This collaboration between team Olo and the best digital minds in the restaurant industry is the reason I believe our restaurant of the future vision is within reach. In further news driving innovation for our customers, I'm excited to announce that we officially launched Olo Connect, a select group of our over 300 strong partner network primed to deliver a best in class dining experience powered by the Olo platform. Built to meet the ever evolving needs of the industry Olo Connect empowers our network of 600 plus restaurant brands, with the actionable insights needed to identify the best digital solutions to drive efficiency and enable hospitality, meeting a transparent set of qualifications, which include tenure on our platform, the number of mutual brands and locations currently supported, and proven customer satisfaction. Olo Connect partners gain valuable benefits rewarded on a tiered structure based on the strength of their credentials. And finally, as I typically do on earnings calls, I'd like to provide an update on our ESG efforts. As part of fulfilling our pledge 1% commitment to dedicate 1% of Olo's time, product and equity to initiatives to foster sustainable contributions to the communities in which we live, work and serve. We established Olo For Good in 2021. Since its founding, Olo For Good annual grant cycle has awarded $8.2 million to 16 different nonprofit organizations through its donor advised fund partner Tides Foundation. Olo recommended six nonprofits for the 2023 annual grant cycle, and we're proud to announce the Tides Foundation subsequently donated a total of $1.25 million in grants to six organizations. Grant recipients are nonprofits focused on diversity, equity and inclusion, ending childhood hunger and increasing access to food, supporting the restaurant industry's frontline workers, protecting natural resources and reducing waste and emissions. These are all causes deeply rooted in our values and the industry we serve. And we continue to be fervent about using Olo as a platform for social impact and positive change. You can learn more about the recipients and our ESG efforts by visiting olo.com/esg. As we plan ahead for the rest of the year, we're encouraged by the early results and energized to execute against our four year plan. We look forward to Olo's continuing role in guiding our customers through the restaurant industry's digital transformation, bringing our vision of the restaurant of the future to life. And with that, I'll hand it over to Peter to discuss more detailed results.
Peter Benevides: Thanks, Noah. Today, I'll review our first quarter results as well as provide guidance for the second quarter and the full year 2023. In the first quarter, total revenue was $52.2 million, an increase of 22% year-over-year. Platform revenue in the first quarter was $51.4 million, an increase of 24% year-over-year and Olo Pay continues to perform well, pacing to our expectations set forth at the top of the year. In terms of key metrics, ARPU for the first quarter was approximately $632, representing a 22% increase year-over-year in an 11% increase sequentially. Further growth in ARPU is driven by continued progress in driving the average number of products adopted by our customer base, including higher ARPU solutions, like Olo Pay. In terms of active locations, excluding the impact of subway locations transitioning from the platform, we added approximately 1500 net new active locations to the platform, ending the quarter with approximately 76,000 active locations. As a reminder, and in line with what we've discussed in prior quarters approximately 12,500 subway locations transitioned from the platform in late Q4, 2022 and are not included in the active location total for the first quarter of this year. And lastly, net revenue retention was approximately 114% up 600 basis points sequentially driven by continued growth in ARPU, due to further sell through of Olo' products suits. For the remainder of the financial metrics disclosed unless otherwise noted, I will be referencing non-GAAP financial measures. Gross profit for the first quarter was $37.2 million. This compares to $32.1 million a year ago. The year-over-year increase in gross profit was driven by continued growth in revenue partially offset by increased compensation costs to support new locations coming onto the platform and processing costs associated with Olo Pay. Sales and marketing expense for the first quarter was $9.9 million, or 19% of total revenue. This compares to $6.2 million and 14% a year ago. Please note that sales and marketing expenses for the quarter include our annual user conference beyond four, which was held in the second quarter in 2022. We are pleased with the progress we have made in building out and enhancing our go to market efforts. We intentionally made those investments at the beginning of the year, and expect to see more moderate growth in sales and marketing through the course of 2023. Research and Development expense for the first quarter was $15.7 million or 30% of total revenue, compared to $13.1 million, or 31% of total revenue a year ago. On a dollar basis, we increased investments in R&D in order to unlock future growth opportunities related to Olo Pay, Borderless capabilities and on-premise ordering. We expect to drive leverage from R&D over the remainder of 2023. General and administrative expense for the first quarter was $10.4 million, or 20% of total revenue. This compares to $11.1 million and 26% a year ago. The year-over-year improvement on both dollar and percentage basis represents continued optimization of expenses as our organization continues to scale. Operating income in the first quarter was $1.2 million compared to $1.7 million a year ago. Net income in the first quarter was $4.6 million or $0.03 per share, based on approximately 180 million fully diluted weighted average shares outstanding. Turning our attention to the balance sheet and cash flow statement. Our cash, cash equivalents in short and long term investments totaled $438.3 million as of March 31, 2023. Pursuant to the share repurchase program, which we announced in September 2022 in the first quarter, we repurchased 2.7 million shares for a total of approximately $20 million net of commission. Since the introduction of our share repurchase program, we have repurchased 5.4 million shares for $40 million. We have $60 million remaining on our authorization. Regarding cash flows, net cash used in operating activities was negative $2.1 million in the first quarter as compared to negative $900,000 used a year ago. Free cash flow was positive $3.9 million, compared to negative $3.4 million a year ago. I'll wrap up by providing our guidance for the second quarter and full year 2023. For the second quarter of 2023, we expect the revenue in the range of $53 million and $53.5 million and non-GAAP operating income in the range of $2 million and $2.4 million. For the fiscal year 2023, we expect revenue in the range of $215.8 million and $217.3 million and non-GAAP operating income in the range of $12 million and $13. 2 million. We are off to a solid start in 2023 and remain optimistic about the remainder of the year. We think the macro dynamics remain in line with our expectations at the beginning of the year in the success we were having on our key strategic priorities positions us well going forward. With that I'd now like to turn it over to the operator to begin the Q&A session. Operator?
Operator: Thank you. At this time, we will be conducting a question and answer session. [Operator Instructions] Our first question is from Matthew Hedberg with RBC.
Matthew Hedberg: Great, thanks for taking my questions. Congrats on the Q1 results. May be a high level question for you. You guys have been building a data platform for quite some time now. And when I think of data platforms, I think of generative AI, it feels like there's a play there. I'm curious, how do you think about leveraging AI or even generative AI in the future to help brands? And even customers benefit from all this data?
Noah Glass: Matt thanks so much for the kind words and for the question. I think AI has a very large role to play in this industry and for others business and customers going forward. I really think about it across all of our product modules suites. I think about it in order and in pay and in engage. And there are use cases that we're currently utilizing for all three. So we step through those for a moment. In the ordering platform. One of the missions that we've articulated is to keep the restaurant and the kitchen as productive as possible and as profitable as possible. I mentioned the prepared remarks how we're using capacity management, AI and Machine Learning to do just that to really hone in on the proper quote times and understand true capacity in the kitchen at any given moment. You could also think about some of the things that are maybe more obvious like voice ordering through interactive voice response. I've mentioned a couple quarters back, running pilots with a variety of partners that are in our partner ecosystem that are doing that kind of voice ordering through our API utilizing interactive voice response. Within Pay, we're seeing this as one of the main drivers. AI is one of the main drivers of the superior results for Olo Pay versus legacy processors. So things like authorization rates being at 98%, which is 5% to 20% above industry standard or fraud being reduced by 85%. That's really because of the utilization of AI through our partnership with [right]. And then the engage platform we're seeing AI as the opportunity to harness that guest data and use it for personalization of the ordering experience and also of marketing messages that guests received. I guess broadly, philosophically, when I think about AI, I think it favors incumbents. And it's something that is going to help serve our customers, our mission, given the scale that we're operating at 76,000 restaurant locations across 100 brands, 85 million restaurant guests and then transaction counts that's over 2 million on a daily basis and historically in the billions. All of that is a great data footprint for us to really yield great results utilizing AI.
Matthew Hedberg: That's great. And maybe just a follow up. The announcement for Noodles taking pay is fantastic. I'm curious you've had some some nice wins over the past couple quarters. Can you talk about the pipeline for Pay deals? How do you feel about it today? And you know how to think about the conversion that these large deals and certainly great to see come through?
Noah Glass: Yes. Thank you. We were very pleased with the Noodles deployments. As I mentioned in the prepared remarks, this was the third quarter in a row, we've had an enterprise brand with over 300 locations, adopting Olo Pay. We're excited about the pipeline, especially when we can showcase results, like what I just articulated in terms of authorization, rate improvements, and fraud reduction, and have these calling card deals. It gives more credibility as reference accounts for other enterprise brands coming on board, and of course, emerging enterprise brands coming on board. So a very rich pipeline. I just note it is true that you have restaurants typically reevaluating payments about every four or five years. And so I would think about that, as you understand how many [ad-map] we have over what timeframe for selling Olo Pay into the existing customer base, that you know, it will probably take five years-ish for us to have an [ad-map] with every single account that's in the Olo customer base. But we think there's a lot that is out there for us. And it's a huge opportunity particularly as it scales beyond just card not present transactions. And we're now able to scale Olo Pay to also satisfy card present transactions that represents a 6x growth in the addressable transaction pool and gross payments volume for Olo Pay.
Matthew Hedberg: Great color, thanks a lot.
Noah Glass: Thank you.
Operator: Our next question is from Stephen Sheldon with William Blair. 
Unidentified Analyst: [indiscernible] for Stephen Sheldon. Thank you for taking my questions. I think widely represents 14 modules Olo offers, and was wondering if you could touch on the traction between those different widely modules. Just curious if some of those modules are seeing stronger adoption than others? And what those would be. 
Peter Benevides: Yes. I can take that one. So in terms of the engaged suite, there are a number of modules within the suite that encapsulate the products available within the engaged suite. So there is the GDP, our marketing automation, product, post or reservation weightless management solution, as well as sentiment. I would say in terms of penetration, marketing, automation, tends to be the highest with a fast follow within host and sentiment and GDP having been relatively new to the market is still in the process of scaling, but in terms of stack raking, that's how the individuals modules stack rank. 
Unidentified Analyst: That's helpful context, Peter, thank you. And then sounds like there were several multi module deployments this quarter and upselling the existing customer base has been going quite well. And I was just wondering if you could talk about what is driving that positive dynamic? 
Noah Glass: Well, I think we've noted for a couple of quarters now that in emerging enterprise, there's a great opportunity for customers to come on to Olo with multiple modules from the onset of the relationship. And certainly we've seen that, again, this quarter. I think with the enterprise market with a lot of existing customers, there's just a great appetite to do more with Olo now that we offer more capabilities. And it's not just in ordering, but it's also in payments. It's also in engagement. And I think I've made this point before, but I'll emphasize it again, we play this mission critical role in the digital transformation for our customers, and they look at Olo as a bit of their their Sherpa for the climb of digital transformation, so we can meet them where they are, and continue helping them to add more capabilities and drive more digital transactions. I think that goodwill and the interest in leaning into the relationship with Olo and getting more digital to achieve their ambitions of getting to 100% digital is really at the root of our success in growing ARPU through multi module adoption. 
Unidentified Analyst: That's excellent. Thank you both and a nice quarter. 
Noah Glass: Thank you. 
Operator: Our next question is from Gabriela Borges with Goldman Sachs.
Gabriela Borges: Hi, good afternoon. Thank you, I wanted to pick up where the prepared remarks left off, which is around macro dynamics in the quarter and then being in line with expectations. I have to narrow Peter, I'm hoping you can share a little bit more about the demand environment on the pipeline more holistically how your customers feeling about their own businesses? How are they feeling about the willingness to invest in technology this year? Any color on essentially the demand environment given all the macro volatility? Thank you. 
Peter Benevides: Yes. So what's interesting is if you look at the end market restaurants and when you look at what they've reported over the past quarter, a lot of resiliency and growth frankly, within their business. And that's encouraging. And that's helping to support the positive signs we're seeing both from a sales and deployment perspective. That said, as we look ahead throughout the bounce of the year, we want to remain prudent in terms of how we think about the potential for upside in the model just given that we're earlier in the year. And while things are encouraging there's still quite a bit of time to kind of move throughout the year. But I would say broadly again, from what we're seeing in the market, and what we're learning in conversations with our customers, a lot of encouraging sign and a lot of resiliency in the end market. 
Gabriela Borges: That's right, thank you. And the follow up I have is, I want to connect the dots. Some of the obvious thing with cross sell with your go to market assets. Can you show a little bit on priorities for how you engage multiple senior sponsors at your customer across not just the IT organization, but also potentially the marketing organization higher up on the organization in order to effectively cross ball across more than one department. Thank you. 
Noah Glass: Gabriela, this is Noah. Thanks for the question. I think it's really part and parcel with being strategic sellers. And selling into the enterprise means that even for that initial onset of the relationship, we have to meet with multiple stakeholders across multiple departments, within the restaurant enterprise, within the restaurant headquarters, the brand headquarters. And so we're often known maybe not as the primary relationship owner, but we're known by multiple departments who are all playing a role in implementing Olo in whatever form that takes, whatever module we're initiating with. From there we are speaking with our champions, our sponsors about getting to the other members of their executive team typically, when it's a new suit that we're selling, if it's payments speaking to the finance or the treasury team, if it's engaged speaking to the marketing department. That becomes an easy reference point, because they know Olo as this mission critical platform, that is their digital transformation partner. And I think it's something that our sales team is getting incredibly adept at. And it's part of that discipline that Diego Panama, our Chief Revenue Officer officer has brought into the company along with his senior team, in being able to really go deep in those accounts, grow ARPU, become more mission critical in the process. But do that by touching multiple executives, multiple departments, multiple budgets, within the same restaurant brands that know us and trust us.
Gabriela Borges: That makes sense. Thanks. 
Noah Glass: Thank you. 
Operator: [Operator Instructions] Our next question is from Mark [indiscernible] with Stifel. 
Unidentified Analyst: Great, thanks. [indiscernible] on for Brad Reback. Just had a quick question on Olo Connect and how that can help on net new versus expansion, that kind of breaking those two out and then also how that can kind of relieve any of the deployment cycle issues you guys have talked about with, I guess, lack of resources in terms of the restaurants being able to focus on deployment. Thanks. 
Noah Glass: Yes. We're very excited to announce the Olo Connect program, which is really the evolution of what has been a very rich ecosystem of integrated technology partners. And as I mentioned in the prepared remarks, Olo Connect is really about tearing partners, a selected group of those partners based on things like their tenure on the platform, their scale in shared brands, and shared location count, and customer satisfaction. And so it's an objective way of showing other customers who are represent prospects for those Olo Connect partners, just how much other customers value the services that they provide. Olo certainly can't do everything under the sun with regard to restaurant technology. We rely upon and love our partner ecosystem to augment our platform. And clearly, this is an opportunity for us to play an even larger role at the epicenter of digital transformation for our customers, and to do so in a more enlightened way through this Olo Connect program. So the response has been really positive from the Olo partner network. It's been really positive from our customer base, getting these additional sources of credibility and understanding tenure and scale and customer satisfaction through Olo Connect. And it's still early days. We're excited to grow that program. And I want to really commend our partnerships team for the work that they did in a really thoughtful way, putting this program together in a way that benefits not just our partners and Olo but truly benefits our customers at the same time. 
Unidentified Analyst: Great thank you. 
Noah Glass: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question and answer session. I would like to call back to Noah Glass for closing remarks. 
Noah Glass : Okay, well, thank you again for joining us today. We are honored to be a mission critical platform for the restaurant industry and to serve as the hospitality helping restaurants drive sales, do more with less and make every guest feel like a regular. I want to say thank you to team Olo for your hard work and execution. We have miles to go before we sleep.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.